Operator: Greetings, and welcome to EQT Corporation's Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host for today's call, Mr. Patrick Kane. Thank you. You may begin.
Patrick Kane: Thanks, Rob. Good morning, everyone, and thank you for participating in EQT's conference call. With me today are Steve Schlotterbeck, President and Chief Executive Officer; Rob McNally, Senior VP and Chief Financial Officer; David Schlosser, Senior VP and President of Exploration and Production; and Jerry Ashcroft, Senior Vice President and President of Midstream. The replay for this call will be available starting this evening for a seven-day period. The telephone number for the replay is 201-612-7415 with a confirmation code of 13650784. The call will also be replayed for seven days on our website. First, a few logistical comments. Earlier this morning, we issued our third quarter earnings release, which can be accessed on our – the Investor portion of our website, www.eqt.com. Included in the release are comments regarding EQT's pending acquisition of Rice Energy. This communication does not constitute an offer to sell or a solicitation of an offer to buy any securities or solicitation of any vote or approval. In connection with the proposed transaction, EQT has filed with the SEC a registration statement on Form S-4 that includes a joint proxy statement, prospectus regarding the proposed transaction [Audio Dip] which registration statement has been declared effective by the SEC. The joint proxy statement, prospectus and other documents filed by EQT and Rice with the SEC may be obtained free of charge at EQT's website, www.eqt.com; or Rice's website, www.riceenergy.com, as applicable; or at the SEC's website, www.sec.gov. You should review such materials filed with the SEC carefully as they will include important information regarding the proposed transaction, including information about EQT and Rice and their respective directors, executive officers and employees who may be deemed to be participants in the solicitation of proxies in respect to the proposed transaction and a description of their direct and indirect interest by security holdings or otherwise. The special meeting of EQT shareholders is scheduled to be held on November 9. Given investor focus on the transaction, we will keep our prepared remarks brief today in order to facilitate your questions. To remind you, the results of EQT Midstream Partners, ticker EQM; and EQT GP Holdings, ticker EQGP; are consolidated in EQT results. Earlier this morning, there was a separate joint press release issued by EQM and EQGP. The partnerships will have a joint earnings conference call at 11:30 today, which requires that we take the last question at 11:20. The dial number for that call is 201-689-7817. In a moment, Rob will summarize the third quarter results and Steve will give a brief update. Following their prepared remarks, Steve, Rob, Dave and Jerry will be available to answer your questions. I'd like to remind you that today's call may contain forward-looking statements. You can find factors that could cause the company's actual results to differ materially from these forward-looking statements listed in today's press release and under Risk Factors in EQT's Form 10-K for the year ended December 31, 2016, as updated by any subsequent Form 10-Qs, which are on file with the SEC and available on our website. Today's call may also contain certain non-GAAP financial measures. Please refer to this morning's press release for important disclosures regarding such measures, including reconciliations to the most comparable GAAP financial measures. With that, I'll turn the call over to Rob McNally.
Rob McNally: Thanks, Pat, and good morning, everyone. I will keep my comments on the quarter brief as it was a relatively clean and straightforward quarter and we expect there's more interest in some of the non-operational topics. As you read in the press release this morning, EQT announced third quarter 2017 adjusted earnings per diluted share of $0.12 compared to a $0.28 loss per diluted share in the third quarter of 2016. Net income and adjusted net income and EPS for the three months ended September 30, 2017, were favorably impacted by a decrease in the estimated effective annual income tax rate and discrete items totaling $29.7 million that resulted in an income tax benefit that added $0.17 to adjusted EPS this quarter. Adjusted operating cash flow attributable to EQT increased to $205.9 million as compared to $166.5 million for the third quarter of 2016. As a reminder, EQT Midstream Partners and EQT GP Holdings results are consolidated in EQT Corporation's results. EQT recorded $82.1 million of net income attributable to non-controlling interest in the third quarter of 2017 as compared to $78.1 million in the third quarter of 2016. So moving to production. Sales volumes were 205.1 Bcfe for the third quarter, representing a 5% increase over the third quarter of 2016. During the quarter, we experienced approximately 3.5 Bcfe of curtailments which were not expected. The curtailments resulted from outages on third-party systems. Despite this impact, third quarter production fell within the stated guidance range for the quarter. Additionally, given how close we are in timing to the Rice vote, we will not provide guidance for the fourth quarter, but we'll tell you that our full year 2017 volumes are on track with previously stated guidance. And we expect the EQT-only exit rate to be approximately 2.7 Bcfe per day. The third quarter 2017 realized price, including cash-settled derivatives, was $2.76 per Mcfe, a 26% increase compared to the third quarter of last year. Operating revenue for the production company totaled $597.7 million, which was $89.6 million higher than the third quarter of 2016. Total production operating expenses were $585.6 million for the quarter, which is 1% higher than the second quarter of 2017, which is consistent with the volume growth that we experienced. Moving on to pricing. Local basis was a bit weaker than we expected. However, a majority of our 2017 local basis exposure is locked in, resulting in a third quarter differential of negative $0.85 per Mcf, which was within our guidance range for the quarter. This differential represents a $0.21 decline over the second quarter of 2017 but is a $0.36 improvement over the third quarter of 2016. Now moving on to midstream results. EQT gathering operating income was $85.8 million, $13.3 million higher than the third quarter of 2016. Operating revenue was $116.5 million, a $17.4 million increase over the third quarter of 2016. Operating expenses for the quarter were $30.7 million, a $4.1 million increase over the same period last year. EQT transmission operating income was $59.7 million, $6 million higher than the third quarter of 2016. Operating revenues were $90.7 million, a $13.1 million increase over the third quarter of 2016. Operating expenses were $31 million for the quarter, which a $7.1 million increase over the third quarter of 2016. I will close out my remarks by providing you with a brief liquidity update. As you may have seen, we successfully completed a bond offering at a blended coupon rate of 3.14%. This offering brought in $3 billion of proceeds that will be used together with previous cash on hand and borrowings under our revolving credit facility to finance the cash portion of the acquisition, repay existing Rice indebtedness and redeem EQT bonds that are due in early 2018. With that, I will turn the call over to Steve.
Steve Schlotterbeck: Thank you, Rob. Good morning, everybody. Since announcing the Rice acquisition in June, we've had hundreds of conversations with our shareholders. Through this dialogue, we've listened to many opinions and heard many suggestions. Consistent with what we've always done, we take action when we feel it's in our shareholders' best interest. To that point, over the last few months, we've taken the following steps, all of which were driven by doing what's in the best interest of our shareholders. We committed to establishing a board committee to evaluate options for addressing the sum-of-the-parts discount. We committed to announcing the decision of that review by the end of the first quarter 2018. We committed to adding two new independent directors to the board with a focus on midstream experience. We committed to include these new directors on the committee tasked with the sum-of-the-parts review. We committed to moving the director nomination deadline to be after the sum-of-the-parts decision announcement. And lastly, we removed volume growth as a metric from future compensation plans and will replace it with return on capital and operating and development cost metrics. In short, we've listened to our shareholders and we've acted. Before opening the call to your questions, and since we are now two weeks away from the vote deadline, I do want to emphasize once again the merits of the Rice transaction. The primary driver of success in our industry is being the low-cost producer, and the most impactful way to drive per unit costs lower is through longer laterals. Establishing a dominant footprint of highly contiguous acreage that allows for sustained long lateral development is a real competitive advantage. This is what the Rice transaction creates for us. Our competitors may be able to replicate things like new drilling technology or new drilling techniques, but they can't replicate an acreage position that supports 12,000-foot laterals in the core of the Marcellus. While this is the main attribute of the transaction, there are many benefits of the transaction that create real value for our shareholders. The deal is 20% cash flow accretive in 2018 and 30% in 2019. It is accretive to NAV per share. We are confident in our ability to deliver the $2.5 billion of base synergy value and also deliver significant value from upside synergies. There are substantial midstream synergies to be realized. And lastly, our ability to address the sum of the parts in the most shareholder value-accretive way is enhanced by creating a more robust upstream and midstream business. In conclusion, we appreciate the dialogue that we've had with our shareholders. Thank you for your continued support, and we urge you to please vote for the Rice transaction on the white proxy card. With that, I'll turn it over to Pat for Q&A.
Patrick Kane: Thanks, Steve. Rob, can we open the call for questions?
Operator: Absolutely. At this time, we will be conducting the question-and-answer session. [Operator Instructions] Our first question comes from Brian Singer with Goldman Sachs. Please proceed with your question.
Brian Singer: There's much discussion about the ongoing capital needed to fill in holes to make acreage truly contiguous in Appalachia. Can you talk to your efforts on this in the third quarter and the risks that you see of increasing – to increasing lateral length, whether or not the Rice acquisition is successful?
Steve Schlotterbeck: Sure, and thanks for the question, Brian. So yes, we have disclosed that we expect between $100 million and $200 million per year for additional fill-in acreage to put these laterals together. That's actually consistent with what it already takes for us to achieve our roughly 8,000-foot lateral average today. So without Rice, we spend – I think we spend about $140 million per year getting to 8,000 feet. We expect to continue to spend roughly that much to put together the 12,000-foot laterals with Rice. So that's just part of what we do, and we do it every day. We've got a large land department. It's the second-biggest department in the upstream company, second only to the field personnel, the operators. And they work every day putting the jigsaw puzzle together. That's what they do. So this is part and parcel of what we do every day, and that won't change with Rice. In fact, in a lot of ways, it will facilitate that work because it will be – since we're – the overlay with Rice is – there's such a good overlay that we're frequently running into Rice when we're trying to fill in those holes. And if we have Rice consolidated with us, then picking up those missing pieces will likely be easier and perhaps even cheaper.
Brian Singer: Great. Thank you. And then as the board considers ways of unlocking sum of the parts value, can you just talk more specifically about, a, what's been considered in the past? And then as the board and you embark in this endeavor, whether the null option of the as-is scenario would be considered?
Steve Schlotterbeck: Brian, I don't want to speak about what's been done in the past because I think all that matters is what the special committee is going to do going forward. But I would say, given the null hypothesis, I can't presuppose what the committee will determine. But the fact that we are talking about a sum of the parts discount and taking the actions that we've described to address it should be a clear indication that our expectation is that the status quo is highly unlikely to be the best answer for addressing the sum of the parts. So – well again, the committee got to do its work and make its conclusions. We wouldn't be talking about a sum of the parts discount the way we are if we thought that doing nothing was going to be the result.
Brian Singer: Great. Thank you.
Operator: Our next question comes from Scott Hanold with RBC Capital. Please proceed with your question.
Scott Hanold: Thanks. Good morning, guys.
Steve Schlotterbeck: Good morning, Scott.
Scott Hanold: A big part of the focus of the combination of Rice is also managing go-forward growth a little bit more to returning maybe some cash to shareholders. Can you give us a broad brush kind of color right on how you think that's going to look? And what point, assuming that the shareholders vote for the deal on November 9, how quickly do you expect to kind of get into that mode?
Steve Schlotterbeck: Yes. I think, Scott, we anticipate being roughly cash flow neutral in 2019 and living below our cash flow in 2020. So that's roughly the time line that we've laid out. And part of that is, 2018, we won't quite be there yet because we have the – our big capacity position on MVP coming online. And we want to fill the bulk of that capacity that makes the most economic sense. So otherwise, we'd be doing it a little quicker.
Scott Hanold: Okay, okay. So specific to NBP in the short term. And you sort of led me to my second question. Can you – there's been some updates on, I guess, for certificates here recently. What's the update on timing on that one? Do you all expect to get a big go-forward on that? And could you remind us how that timing – the various timing impacts getting this project done on time?
Jerry Ashcroft: Hi. This is Jerry Ashcroft speaking. Yes, we were really pleased to get the FERC certificate recently. We're still looking for a notice to proceed in 2017. That's gone – we've got 80% of the pipe already here. We'll have 100% and be ready to have a shovel-ready project at the beginning of 2018, which still puts us in line for service at the end of 2018. So we don't see any major obstacles. Obviously, we have some state and federal permits that we have to get through, but really, the FERC certificate was the kickoff for us.
Scott Hanold: Okay. So you indicated that you need the notice to proceed. So as to remind us, what's the key group that needs to kind of give you that okay? And what needs to be done to get that?
Jerry Ashcroft: Yes, we still have to finish some things up with the State of West Virginia and Virginia, which we will be doing in November and December. We're in constant conversations with them. Once that's done, we'll – and then we feel as though the FERC will give us the notice to proceed. So that's the timing for 2017.
Scott Hanold: Got it. Understand, thank you.
Operator: Our next question comes from Michael Hall with Heikkinen Energy Advisors. Please proceed with your question.
Michael Hall: Thanks. Good morning. I guess I want to follow up a little on the first question with regards to leasing. Can you just discuss what sort of leasehold maintenance requirements you have with the existing leasehold between EQT and Rice? And any sort of leasehold exploration that we ought to keep in mind over the coming, call it, 12 to 24 months.
Steve Schlotterbeck: Yes, Mike. I don't have the specific numbers, but I would remind you that the bulk of EQT's acreage is HBP, so there are no ongoing maintenance or renewal costs. There is some related to the Rice acreage, but I don't think it's material. We could get back to you with a more specific number. I don't have that handy.
Michael Hall: Okay. But suffice to say, while you are pursuing the ongoing leasing, to the extent any of that is hung up, that there isn't a large or a material amount of leasehold that could expire in the interim. Is that a fair way to think about it?
Steve Schlotterbeck: No, no. They had minimal near-term expirations, and they have some several years down the road, most of which we would expect to hold by drilling before they expire. But there will likely be some that we decide that they may have options to extend, that we would exercise those options if they didn't fit in our drilling program before expiration. So there will be a little bit, but it won't be material.
Michael Hall: Understood and helpful. And then second, on the transportation and gathering expense side of things, just trying to think through how should all – any of the terms that you have within EQM, within EQT come up for renewal following this transaction, if that sets of any renegotiations. And what sort of opportunities there might be to blend and extend any of those agreements with EQM?
Steve Schlotterbeck: Yes, Mike. We don't have any near-term agreements expiring. So those are all – quite a few – you hit 2024 to 2026 before they start to expire. I think we will likely explore whether there are win-win renegotiations for blend and extend or – I think it's way too early to tell and we're going to have to really run the analysis to see what the trade-offs are. But I can say for certainty, the only way any contracts get renegotiated is if both parties come out with a win. It has to be a win- no transfer in value between the two companies.
Michael Hall: Okay. Helpful. I appreciate it. And then I guess last on my – and just maybe, could you talk about the market dynamics as you see them in the Southeast markets as you bring on MVP? And how you think maybe pricing in that region will play out relative to Henry Hub as a new line of supply comes on?
Jerry Ashcroft: Yes. This is Jerry Ashcroft again. We're really excited about where MVP is going in at Station 165. It really gives us the opportunity to move both into the Southeast and to go into the Gulf Coast. As you know, the pet chem facilities in Louisiana and Texas are really expanding. We see that as an opportunity, and we also see just the population growth in the Southeast being a big pull, so that the Appalachian supply hub can feed both.
Michael Hall: Okay. And you think that, that market is sufficient to, I guess, proceed with the volumes without any material impact to price?
Jerry Ashcroft: Yes, we do. I mean, we're in conversations with power plants and utilities down there and – so that we have a good feel that, that market that can sustain it.
Michael Hall: Okay, great. That’s it for me for now. Thanks for the time guys.
Operator: Our next question comes from Holly Stewart with Scotia. Please proceed with your question.
Holly Stewart: Good morning, gentlemen. Maybe just a couple of quick housekeeping-type items. Steve, maybe first, best guess on the timing for these two advisory firms to come out and provide a recommendation?
Steve Schlotterbeck: I think we expect – we think Friday is likely. Don't know for sure, but I think Friday is our best estimate for when we'll get the Glass Lewis and ISS recommendation.
Holly Stewart: Okay. And then also – I mean, historically, you've done your kind of forward-looking guidance in December. Is that still potentially the case here with the close of Rice imminent?
Rob McNally: Yes. That's right, Holly.
Holly Stewart: Okay. And then maybe, Rob, since chimed in, one for you. Remind me, have the ratings agencies come out and given their opinion on the deal?
Rob McNally: They have, and they've affirmed our ratings. So they – we went through the RAS/RES process with them earlier this summer. They were – kept them up to date when we did the bond offering, and so we expect our ratings to hold.
Holly Stewart: Investment-grade. Okay. Great. And just one final one for me, if I could. Steve, maybe any update on the asset sales process, Barnett and Permian, that I know you guys have talked about?
Steve Schlotterbeck: Well, not Barnett for us. Permian…
Holly Stewart: Actually, Permian.
Steve Schlotterbeck: There's actually no update. We've been a little distracted on other things, so those have been put in the back burner for now. But once we get back to more business as usual, I think we'll bring those to the forefront again.
Holly Stewart: Okay, great. Thanks, guys.
Operator: Our next question comes from Neal Dingmann with SunTrust Robinson Humphrey. Please proceed with your question.
Neal Dingmann: Good morning, guys. Steve, what – you just mentioned that – on the prepared remarks about the outages from the third party. Could you expand on that little bit? And do you perceive that reoccurring at all through the rest of this year?
Steve Schlotterbeck: Well, I mean, with third-party outages, you never know. The specific outages that we had, I certainly do not expect to see again. So the biggest one was related to a liquids line at one of the processing plants. After a major thunderstorm, they had a slip, and the line was taken out for several days. And so the plant couldn't operate. So they repaired that. It's back, operational. Shouldn't happen again. So these were kind of onetime occurrences. But you can never rule out that something completely different would happen at some point in the future, but these should not be recurring incidents.
Neal Dingmann: Okay. Good details. And then you had a fair amount – I think it was over 32 turning line upward – or I'm sorry, 16 Upper Devonian wells. The plan, at least for the rest of this year, will you continue to be just as active? I know – think what you described those once as sort of use it or lose it on those. Could you just maybe give details of those? I guess a lot of that's going to depend on the deal consummating, but at least for now, what's your thoughts on Upper Devonian plan?
David Schlosser: This is David. I apologize, I have a cold, so my voice is a little rough. But about the same through the last quarter of the year. I think we're estimating 16 Upper Devonians next quarter.
Steve Schlotterbeck: And Neal, I would say post Rice, we would expect to do less Upper Devonian as a percentage of our program. And the only ones that we would be doing at that point are the ones that are exceptionally long. So roughly, I think, maybe 15,000, 16,000-footers, where the economics of that is competitive with a 12,000-foot Marcellus. So post Rice, you'll see shift to only extremely long Upper Devonians.
Neal Dingmann: Okay. And then just lastly, just a bit of a hypothetical on this Rice deal closing. You've had that slide out that shows, really, the amount of how this acquisition triples this capacity to the Gulf. So I'm just wondering, once that does close, will you immediately start reallocating some? And will your marketing team sort of step in and start doing some of that reallocation towards some of those markets?
Steve Schlotterbeck: Well, definitely. I mean, we'll assess where the – where we'll get the best netbacks for the capacity we have available. And our commercial team monitors that stuff daily. So it will provide more optionality, which will create opportunities to capture better prices. As the differentials between demand basins moves around, we'll be able to stay in sync with it.
Neal Dingmann: Perfect. Thanks, Steve and Dave. Good luck on the deal.
Operator: Our next question comes from Vikram Bagri with Citi. Please proceed with your question.
Vikram Bagri: Good morning. I understand I'm jumping the gun here a bit, but following up on an earlier question, it is a disparity between gathering and compression rates at both the midstream entities you'll have after the transaction. How should we think about these rates longer term? Would you look to address to ease the rates after the deal? Or would it be after 2025, 2026 time frame that you just mentioned? How would you look to address that disparity in gathering rates?
Rob McNally: Yes, I think – this is Rob. And I think that the rates that exist will remain in place, something – unless there is some sort of blend-and-extend negotiation that makes sense for both businesses. And then going forward, I would expect the rates would be at kind of market rates. I think they would be right down the middle of the fairway. And so I think what you'll see is that the rates to the production company will be blended lower with a combination of the Rice's lower rates, and then market rates for future projects.
Vikram Bagri: Great. That’s all I have.
Operator: Our next question comes from Drew Venker with Morgan Stanley. Please proceed with your question.
Drew Venker: Good morning, everyone. I just want to clarify those comments you made on the free cash flow profile in 2019 and 2020, just to clarify whether that would be still the case for the E&P stand-alone business fully separated from EQGP and EQM. Or if it remains consolidated, if you'll be free cash flow positive in 2019, if that's the…
Steve Schlotterbeck: Well, that – it assumes the Rice transaction moves forward, but it does not assume the cash flow from the GP. So yes, that does apply to the E&P business stand-alone.
Rob McNally: Just to add to that. It applies both ways, stand-alone or separated. But obviously, there is a significant a lot of cash flow coming from the GP that then wouldn't be there if there was some sort of separation transaction.
Drew Venker: Okay. That’s very helpful. And then on the drilling activity for next year. Can you just talk about how much of your program you expect to be tying into sales in Pennsylvania in 2018 versus West Virginia, comparing 2018 versus 2017?
Steve Schlotterbeck: We're still working on our 2018 plan, so I can't give you that kind of detail. The one data point I can share at this point is – and it's a bit preliminary, but I think this is probably the minimum. In the acquisition area, where we said we're going to average 12,000-foot laterals, we expect to be able to come right out of the gate in 2018 and average at least 12,700 feet in that area. So in terms of delivering on the synergies, we're going to be able to start demonstrating that from day one. So we're pretty excited that the more we work the maps and get the data incorporated as we plan for the integration, our ability to deliver on that, our confidence in that, keeps going up. So we're going to come out of the gate at 12,700 at least and probably go up from there.
Drew Venker: And Steve, that would be – once you'd spud right after the transaction closes. And so turning in line is about 12 months from then, does that sound right?
Steve Schlotterbeck: Yes. 9 to 12 would be the average. Yes.
Andrew Venker: Okay. And if I could, just one follow-up on the free cash profiles. Does it still make sense in your mind to plan to return cash to shareholders if the E&P ends up being a stand-alone business? Steven
Steven Schlotterbeck: I think – the answer is yes in terms of a strategy. And I think that's just sound business for the industry we're in. I will say, with Rice, it's much more achievable than without Rice. Without Rice and without the improved cost structure, the ability to do that, it's still there, but the growth rates will be less attractive because we'll have to spend more money to get the same growth rate than we would with the Rice transaction because of all of the benefits we talked about. So I think conceptually, it is the right direction for EQT, and frankly, the entire industry. I hope others go that direction as well. And that seems to be gaining traction, so I think others are talking about that and contemplating it. But again, it's much more doable and it will be much more attractive with Rice than without Rice.
Operator: Our next question comes from Arun Jayaram with JPMorgan. Please proceed with your question.
Arun Jayaram: Yes, Steve, I wanted to see if you could dig down a little bit. Obviously, a lot of focus recently on kind of acreage maps and interpretations of how many long-lateral locations you long-lateral locations you have on a pro forma basis. I just wondering if you could, again, just maybe go through your confidence around the 1,200 number on a pro forma basis.
Steven Schlotterbeck: Well, extremely confident. I just gave you one stat that supports that confidence, where we're going to come out of the gate above the average. And that's – I think that's pretty remarkable, given that we have to re-permit all this. We have to get started from scratch. So high, high confidence. And I'll give you a couple other stats that maybe will relay some confidence, especially in contrast to some of the noise that's been out there. In Greene County, which is where the bulk of this acreage is – there's lot in Washington, too, but if you just focus on Greene County for a second. Greene County has a total acreage of 370,000 acres. To date, over the last 11 years, 75,000 of those acres have been developed. So the gas is being drained from 75,000 acres. At least 295,000 acres in Greene County alone that un-yet – are, as of now, undrilled and undeveloped and undrained. That's about 80% of the acreage in Greene County still is available to produce gas. And one other stat for us and for Greene County, again, there's 370,000 acres. After the Rice transaction, EQT will control 212,000 of those acres. So 57% of the county will be under the control of EQT, where 80 % of that is remaining to be drilled. So there's lots of remaining inventory acreage. Tremendous amount of resource in place. So very, very confident in our ability to deliver on that synergy.
Arun Jayaram: That’s very helpful. And I was just wondering, Steve, if you could also talk about, from a technical team standpoint, other factors that you think would support kind of the industrial logic of the transaction.
Steven Schlotterbeck: Well I think, in our presentation, you see that list of upside synergies, so ones that are not included in the economics of the deal. But I think you can look at most of those, and it's not hard to wrap your head around. There will be value created there. So obviously, purchasing power. we know when we contract for drilling and fracking services, the more work we offer, the better rates we get. With Rice, we'll be able to offer more work. So we'll get better prices. Both – I mean – EQT and Rice have been amongst the leaders in Appalachia in terms of developing the new techniques and technologies to improve recoveries. And the way that works is a lot of that is testing various ideas that the technical folks have. EQT engineers have certain ideas that we've tested. And the testing involves drilling a well, modifying a technique, getting the well in line, gathering production data over many months or a year to determine whether that new technique was effective or not. So you can only test a certain number of ideas. So EQT's tested ideas we've had, Rice has tested ideas they've had, they're not necessarily the same ideas. So when we can get the databases and the technical teams together to review all of that data as one, there certainly will be best practices from both sides that can be combined to improve recoveries and lower costs. So it's hard to predict exactly what those techniques are at this point. We have to do the work and get the technical teams working on it. But not hard to imagine that there is going to be incremental value there. And it could be significant because it doesn't take much improvement in recovery to drive a significant amount of shareholder value. And then there's a list of seven upside synergies you can see in our presentation. So I think there's plenty of upside. But the deal makes a ton of sense even if we don't get any of that, which won't happen.
Arun Jayaram: Got you. And my final question. It looks like you raised your year-end exit rate guide, at least on a stand-alone basis, to 2.7 to 2.6 – from 2.6 to 2.7. Wanted to ask a little bit about on the tied-in line, you did 49 versus the guided 55. So maybe a few less wells this quarter. Are those going to – and your previous guide for the fourth quarter is 58 wells. Is that just a little bit of timing there? Any issues in terms of fracture, spread availability, et cetera.
Steven Schlotterbeck: Yes. So no issues. What all – it is all timing. Those 5 or 6 that were late this quarter will shift into next quarter. I will tell you that we have 9 frac crews running now. So we have all the frac crews we need, all the rigs we need. And the reason that exit rate shifted up is just that we have noted that activity is shifting into the fourth quarter now.
Arun Jayaram: Great. Thanks a lot.
Operator: Our next question is from Michael Hall with Heikkinen Energy Advisors. Please proceed with your question.
Michael Hall: Hi, thanks. I appreciate the follow-up. And it was just actually a follow-up on that last question. To be clear, the exit rate, is that a fourth quarter average? Or will that be – like an average between the fourth and first quarter?
David Schlosser: This is David. That's a December average.
Michael Hall: Okay, perfect.
Operator: Ladies and gentlemen, we've reached the end of our question-and-answer session. I'd like to turn the call back to Mr. Patrick Kane for closing comments.
Patrick Kane: Thank you, Rob, and thank you all for participating.